Hanna Jaakkola: Dear all, warmly welcome virtually to Helsinki, and thank you for tuning in for Kesko's Q3 2025 Release Call. Results improved, positive development in all divisions is our headline. We also updated our guidance and are giving some outlook regarding next year. Our agenda today is the following: President and CEO, Jorma Rauhala, will give the Q3 presentation. We have here with us our Business Division Presidents, Ari Akseli for Grocery Trade, Sami Kiiski for Building and Technical Trade; and Johanna Ali for Car Trade; as well as CFO, Anu Hamalainen. After Jorma's presentation, it's time for questions, both by phone and via chat function. All materials related to Q3 can be found at our website, kesko.fi under Investors. My name is Hanna Jaakkola. I'm responsible for IR at Kesko. I will be at your service after the presentation for your questions and discussions. But now without further ado, Jorma, the virtual stage is yours.
Jorma Rauhala: Thank you, Hanna. Ladies and gentlemen, welcome also on my behalf to this release call. I am Jorma Rauhala, and I have now the pleasure to present Kesko's Q3 results. Result improved. Positive development in all business divisions is our headline. And what we do mean by positive development. For Grocery Trade, we saw a turn for better in Grocery Trade's market share and the rolling 12 months EBIT margin was 6.6%, which is definitely clearly above 6%. Also, grocery volumes in the market increased, which is positive. We saw also demand for quality products and services increasing. In Building and Technical Trade, the market was challenging, but we saw positive sales development in Denmark, Poland and Baltic countries. Also, Onninen sales in Finland increased for the first time in 2 years. In Car Trade, both sales and operating profit increased clearly. But now, I will give an overview of our business performance and open up elements behind the result. In the end, I'll present the updated guidance for 2025 and outlook for 2026. And after that, we are ready for the Q&A. Summary of Q3 2025. Kesko's result improved clearly and net sales grew in all 3 divisions. The result was actually better than we expected for Grocery Trade and Car Trade, but construction cycle improvement has still been slower than anticipated and the result in Building and Technical Trade was comparable or slightly below our expectations. The sales in Building and Technical Trade were in line with our expectations, but the sales margin was lower due to continued tight price competition in a challenging market. In Grocery Trade, net sales increased and comparable operating profit was at a good level. Sales development for grocery stores were close to market pace. In Building and Technical Trade, net sales increased supported by acquisitions. Also comparable operating profit increased. In Car Trade, net sales increased and comparable operating profit grew clearly. Kesko's history's biggest ever construction project, the shared Onninen and K-Auto logistics center Onnela was completed on schedule and below the original budget. Kesko updates its 2025 profit guidance, and we are now estimating that its comparable operating profit will be in the range of EUR 640 million to EUR 690 million. We estimate that in 2026, operating environment and result will improve in all divisions and in all operating countries. Net sales in Q3 totaled over EUR 3.2 billion. It was up by EUR 201 million. Net sales increased in all businesses. Rolling 12 months net sales increased to almost EUR 12.3 billion. In Q3, comparable operating profit was EUR 208.1 million and operating margin was 6.4%. Comparable operating profit increased by EUR 6.5 million. Kesko Senukai reported in the third quarter, its joint venture result for the whole 9-month period, and it was EUR 7.4 million. Excluding Kesko Senukai's January-June figures, operating profit increased by EUR 6.6 million. Comparable operating profit increased in Building and Technical Trade and in Car Trade and decreased in Grocery Trade. Rolling 12 months operating profit was EUR 651.2 million and operating margin was 5.3%. Return on capital employed was 10.6%. Return on capital employed increased in Car Trade, was down in Building and Technical Trade and in Grocery Trade compared to the year-end. Financial position. The amount of net debt was impacted by investments in store site and acquisitions. Cash flow from operating activities were at the last year's level despite the change in the Food Market Act in 1st of July, which shortened the payment terms. The estimated negative impact of the payment term change to Grocery Trade cash flow was approximately EUR 100 million. Capital expenditure totaled EUR 141 million. I'll open up investments on the next page. Net debt-to-EBITDA was 1.8. It increased, but is well below our maximum target of 2.5. Capital expenditure totaled EUR 141 million. We continued the investments in growth and the main CapEx in Q3 were store site investments in Grocery Trade and the constructions of Onnela, Onninen and K-Auto shared logistics center in Hyvinkaa, Finland. Expenses. Expenses have increased mainly due to acquisitions. Expenses, excluding the acquisitions, were up by only 1.3%. This is a good achievement taking into consideration the salary increases. Now to Grocery Trade, where we saw increased sales and a turn for the better in grocery market share development. In Q3, net sales totaled over EUR 1.6 billion and increased by EUR 36 million. Kespro's net sales declined by 0.2%. Rolling 12 months net sales totaled EUR 6.4 billion. In Grocery Trade, comparable operating profit for Q3 was EUR 117.5 million, and it declined by EUR 1.2 million. Profitability was strong, 7.1%. Kespro's operating profit declined by EUR 0.8 million. Rolling 12 months operating profit was EUR 424 million and operating margin was 6.6%. In Grocery Trade, net sales increased and comparable operating profit was slightly down. K Group grocery sales were up by 3.6%. Kespro's net sales were down by 0.2%, which was close to market pace. K-Citymarket non-food sales were up by 3.2% and profit improved. Customer flows continued to grow, thanks to the price program and campaigns. Online grocery sales were up by 9.9%, especially Click & Collect and fast deliveries increased. Online sales is 3.9% of total grocery sales for the whole 9 months period. General grocery price inflation in Finland was approximately 2.7%, but the price development in K Group stores was only 1.2%, especially thanks to our price program. Total grocery market grew approximately 3.9%, so the volumes in the market increased in Q3. Market share development for K Group grocery stores has strengthened during the year and was close to market pace in Q3. In the hypermarket segment, K-Citymarket won over market share in January, September, and I'm very pleased with this development. Even though Grocery Trade market remains price driven, there are signs of demand growing for higher quality products and services. Our measures are yielding results. Market share development for grocery stores is positive. I have been asked if our price program is enough to turn the market share. No, it is not. We need all these 3 elements: quality, price and network. If we look at the network, our main focus is on growth centers, and we are developing all our formats. In September, we opened a brand-new K-Citymarket in shopping center in Lempaala close to Tampere. The next one to open is K-Citymarket Paavola in Lahti, replacing the first ever hypermarket in Finland opened 1971. In '25 and '26, we are opening 6 K-Citymarkets, 12 K-Supermarkets and 20 K-Markets to strengthen our network and market position. Annual investments are expected to be around EUR 200 million to EUR 250 million in the whole grocery store site network in upcoming years. After Suomen Lahikauppa acquisition in 2016, our network in smaller format is extensive, and we have not opened hypermarkets in recent years. Much of the planned CapEx will be directed to hypermarkets. By 2030, the store site network will be updated in the right locations and meets upcoming legislative requirements. We announced this morning great news about new hypermarket opening plans in Helsinki metropolitan area. Getting new suitable locations in Helsinki area is very difficult, and I'm very pleased to announce these new hypermarkets. We will open a new K-Citymarket in shopping center ready in Kalasatama next to our headquarters. New store will open latest in 2028 and replace the current K-Supermarket. The area has grown fast and is expected to grow further quite heavily in the future. Shopping center Redi will be our fifth hypermarket in Helsinki and the second close to the city center. We have also acquired the majority of shopping center Tikkuri in Vantaa and have plans to start building a new K-Citymarket towards the end of the decade. Tikkuri is in the heart of Vantaa. This store will be the sixth in the city of Vantaa after Kivisto. Vantaa too is fast growing. In Espoo Kesko's, new zoning is now in place and construction works for the new K-Citymarket have started. The store is expected to open in 2028 and will be the third K-Citymarket in the growing and affluent city of Espoo. The common factor for all these new stores is urban shopping center location with great traffic connections for both public and private traffic. Price program launched in January removes obstacles for buying. The price program includes affordable everyday products. Prices have been cut on total 1,200 popular products. There are also relevant campaigns and personalized targeted benefits. Results have been promising, good sales development with good profitability. Customers have found the products with reduced prices well. Customer flows and average purchase has developed well. Also, daily basic purchases have increased, not only campaign sales. We will continue the price program with a long-term focus while keeping the profitability at a strong level, clearly above 6%. Quality is in our DNA, and the quality work is never ready. Raising the bar in quality offers significant sales growth potential. K-retailers and store-specific business ideas are our key competitive advantage. We have many excellent stores, but there is still too much variation between the stores when it comes to quality. It is critical to choose the right retailers to right locations. Rotation is normal. There are some 140 retailer changes each year. Key actions to increase quality is further sharpen each store-specific business idea. Also, we are focusing especially on renewing certain departments like bread and fruit and vegetables as well as K-Citymarket non-food. Extensive relevant selections are created by data and AI and digital services are being developed to make everyday life easier, both for customers and K-retailers. Now to Building and Technical Trade. Cycle is recovering, notable strengthening in technical trade sales. In Building and Technical Trade, net sales increased by EUR 106 million to over EUR 1.2 billion. The increase was supported by the Danish acquisitions. Net sales improved in comparable terms by 1.3%. In comparable terms, technical trade net sales improved by 3% and building and home improvement trade declined by 0.2%. Rolling 12 months net sales were over EUR 4.5 billion. Comparable operating profit for the Building and Technical Trade division totaled EUR 71.7 million and operating margin was 5.8% Operating profit increased by EUR 1.6 million. Kesko Senukai reported its whole January, September figures in Q3. Excluding Kesko Senukai joint venture result for the first half, the operating profit increased by EUR 1.7 million. Rolling 12 months operating profit was EUR 170.4 million and operating margin was 3.7%. Comparable operating profit increased, thanks to positive profit development in technical trade and Kesko Senukai reporting its joint venture result. In Building and Technical Trade, Q3 net sales increased and profit improved. Market demand was again weaker than anticipated, especially in new residential construction. Technical trade sales increased significantly, while profit declined compared to the last year. Building and home improvement trade net sales grew, thanks to acquisitions, but declined in comparable terms. Despite the increase in division sales, sales margin weakened due to continued tight price competition in a challenging market. In Finland, K-Rauta building and home improvement trade sales decreased slightly year-on-year. In Finland, Onninen sales increased for the first time in over 2 years. Norway, sales increased for Byggmakker and Onninen also profit improved. Denmark, Davidsen sales development was strong and integration of acquired companies is proceeding as planned. Sweden, ramp-up of converted K-Bygg stores continues, and it impacts negatively sales and profit development. Credit risk is well under control. Write-downs of overdue trade receivables totaled EUR 1.2 million. In Q3, Kesko Senukai reported its joint venture result for the whole January-September period. In Kesko's Q3 reporting, Kesko Senukai's joint venture result was EUR 7.4 million. Kesko Senukai did not report January-June quarter separately. Kesko Senukai's joint venture result for the first half was EUR 0.1 million negative due to inventory write-down. As we commented in July, in operational terms, performance was roughly in line with the previous year, and Kesko Senukai's joint venture result for the first quarter is typically negative. We have showed this picture many times already. And here, you can see now the Q3 development. We can see K-Rauta's and Onninen sales development in Finland since 2019 in this picture. Both have strong market shares. K-Rauta is the market leader in building and home improvement business in Finland and Onninen in technical trade. K-Rauta sales declined somewhat in Q3. Onninen, on the other hand, performed well and the sales increased for the first time since spring 2023. Here, we can see Onninen's main customer groups in Finland. Onninen serves extensively various construction segments. Technical contractors represent about half of the sales. These are, for example, plumbers and electricians. This technical contractor segment can be divided 50-50 into new construction and renovation and maintenance. 20% of sales goes to industry segment, which includes also shipyards and other industrial construction. Infrastructure represent also 20% of sales. The market in infrastructure has been better than in other forms of construction. And the remaining 10% is wholesale to retailers and other B2B customers. The fact Onninen's presence is so wide helps in different situations and cycles. The much discussed share of new residential construction is currently only about 1/4 of sales. But of course, when the cycle gets stronger, the share of new residential construction will increase. At the moment, nearly 60% of Building and Technical Trade division sales come outside Finland and the pace of construction cycle recovery varies between countries. In the map, we can see the sizes of the businesses in each country and how net sales in comparable terms have developed in Q3 compared to Q3 a year ago. There is a clear improvement in the southern part of the map, Denmark, Poland and Baltic countries reporting strong growth figures. Finnish sales I already presented. In Norway, Byggmakker sales have increased and Onninen were at the same level as last year. In Sweden, we still have work to do in our performance, getting the sales of converted stores up. Also, the market has been difficult in B2B business. But we see cycle turning even if the turn is lower than thought earlier. And now some words about Onnela logistics center. The center serves mainly Onninen, but also K-Auto spare parts. Construction was completed in August, and the move and ramp-up phase is happening during the quiet winter season. The center is fully operational at the end of Q1 next year. K-Rauta central warehouse, which is currently outsourced, will move to Onninen's former warehouse, which is also located in Hyvinkaa. This gives us synergies, for example, in staff resourcing. Onnela logistics center enables growth once the market strengthens and will bring efficiency benefits as volumes grow. The timing of this project was excellent. Original cost estimate was EUR 300 million and the actual cost was less than EUR 250 million. Onnela enables future growth. The center is clearly bigger and has more automatization than the previous warehouse. And there is possibility to expand the center in the future, too. And now to Car Trade, where strong profit development continued. In Car Trade, net sales for Q3 increased by EUR 60 million and were EUR 355 million. Net sales increased in new cars, used cars and services, but decreased in sports trade. Rolling 12 months net sales were over EUR 1.3 billion. The comparable operating profit totaled EUR 22.7 million and increased by EUR 4.9 million year-on-year. Operating margin was 6.4%. Rolling 12 months operating profit was over EUR 82.5 million and operating margin was 6.1%. Net sales and comparable operating profit grew clearly despite the market remaining challenging. Market demand for new cars continue to be still muted. Q3 first registration of passenger cars and vans up by 2.5%. First registration of brands represented by Kesko, up by 18.2% in Q3. This is a great achievement, and we gained heavily market share in new car segment. Good development is a result of attractive new car models and constantly improving operational excellence. Market trend in sales of used cars from dealerships to consumer was down by 0.1%, and our used car sales were up by 25%. Also, service sales increased. We are targeting to grow, especially in damage repairs and the servicing of cars 5 years or older. In sports Car Trade, net sales and comparable operating profit decreased, but market share grew. And now, specified profit guidance for 2025 and outlook for 2026. Profit guidance for 2025. Kesko Group's profit guidance is given for the year 2025 in comparison with the year 2024. Kesko's operating environment is estimated to improve in 2025, but still remain somewhat challenging. Kesko's comparable operating profit is estimated to improve in 2025. Kesko estimates that its 2025 comparable operating profit will amount to EUR 640 million to EUR 690 million. Kesko previously estimated that the comparable operating profit would amount EUR 640 million to EUR 700 million. The updated profit guidance is based on the results for January, September 2025 and the slower-than-anticipated cycle recovery in Building and Technical Trade in the third quarter. Key uncertainties impacting Kesko's outlook are developments in consumer confidence and investment appetites as well as geopolitical crisis and tensions. Outlook for 2026. The operating environment for Kesko is estimated to improve in 2026 in all divisions and all operating countries. Kesko's comparable operating profit is also estimated to improve in 2026 in all divisions and all operating countries. In Grocery Trade, B2C trade is estimated to pick up and the foodservice business to remain stable. In 2026, the comparable operating profit -- operating margin for the Grocery Trade division is estimated to stay clearly above 6% despite the investments in price and the store site network in line with Kesko's strategy for 2024-2026. In 2026, the comparable operating profit for the Grocery Trade division is estimated to improve on 2025. In Building and Technical Trade, the cycle has not improved in 2025 as expected at the start of the year. In 2026, the cycle is expected to improve moderately from an exceptionally low level. In 2026, the comparable operating result for the Building and Technical Trade division is estimated to improve on 2025 in all Kesko operating countries. In Car Trade market, new car sales are expected to remain muted compared to long-term levels, but to nonetheless grow compared to 2025. In 2026, the net sales and comparable operating profit for Kesko's Car Trade division are estimated to improve on 2025. To summarize, the result was good, and there was positive development in all divisions despite the challenges in Kesko's operating environment. In Grocery Trade, strategic measures are yielding results. Market share development for grocery stores has taken a turn for the better. Kesko's market share is strong. Consumer sentiment is moving to better direction and Grocery Trade market is showing signs of picking up. In Building and Technical Trade, sales were clearly up in Denmark, Poland and the Baltic countries. Technical trade sales grew. Construction cycle is strengthening, but at a more moderate pace than previously anticipated. In Car Trade, there was a good sales development in new and used cars and services. Sports trades outperformed the market. All 3 divisions are well positioned for market strengthening in 2026. Thank you. This was my presentation. I guess it's time for questions now.
Hanna Jaakkola: Thank you, Jorma, for the presentation. Let's go to the Q&A now. So I will turn first to the conference call line, please.
Operator: [Operator Instructions] The next question comes from Maria from Wikstrom.
Maria Wikstrom: This is Maria from SEB. I still have a few questions. I would love to have a little bit more color. I'm starting with the 2026 outlook. And especially if we look at the Grocery Trade division, you are guiding for an adjusted EBIT to pick up in '26 from '25. And already, I mean, '25, we have a quite high level. So could you discuss a bit about your confidence on the earnings growth in Grocery Trade division next year? And what are your assumptions behind this growth assumption at this point in time, please?
Jorma Rauhala: Okay. Thank you, Maria. All in all, about Grocery Trade, of course, we have now seen that, for example, now last quarter, Q3 was quite strong, also volume increase in the Finnish grocery market and also our performance when it comes to sales, market share and EBIT was quite nice. So we believe that more and more consumers are a little bit more confident. They are now buying more, let's say, very high-quality ready meals and fish and fruit and vegetables and things like that. So all in all, we think that the Finnish grocery market will increase next year. And also, we believe that our performance will be quite strong when it comes to market share. So no doubt about that, that what we stated that the EBIT on Grocery Trade will be clearly about 6%.
Maria Wikstrom: And coming back to the market share question, I think you earlier have said that even you have lost the market share on the total Grocery Trade division, you have gained market share with the hypermarket concept. What is your view on the market share development in Q3? And if, I mean, do you think -- I mean, in order to facilitate faster market share growth that you would need to initiate new pricing actions? Or would this -- what you did in the beginning of the year be enough, I mean, for now?
Jorma Rauhala: Yes. All in all, like I said, Q3 was very good when it comes to market share development. And the total market growth was 3.9%, and our growth was 3.6%. So we were very close on the market pace. And in hypermarket sector, we have gained market share whole year, which is very, very positive. And also now kind of supermarket segment, we were very close when it comes to market growth pace. We are losing market share on the smaller side, those neighborhood like K-Market. And biggest reason for that is that our store network has -- we have less stores, let's say, now. But all in all, I'm very confident that now Q3 was very much better than Q1 and Q2. And next year, especially, I believe that the next year will be the year that we will gain market share, and we will continue with this price program and the whole program kind of includes our pricing system. So no -- any big changes needed on that one. But I hope this opened a little bit more that.
Maria Wikstrom: And then finally, I know this is a kind of a small thing in a big picture, but still wanted to get a little bit more insight on the turnaround and rebranding of the Swedish Building and Technical Trade business to K-Bygg, as you mentioned separately that, that was still eating into the profitability this year. So when do you expect I mean to reach the black numbers? And what is kind of the leeway that you see or trajectory that you see in the Sweden going forward, please?
Jorma Rauhala: Yes. Okay. Thank you. Sweden and K-Bygg, Sami, you can take that one.
Sami Kiiski: Thank you, Maria. So first of all, of course, we see the market a little bit recovering also in Sweden and more from B2C side. So consumer business is better than B2B. And of course, we need to remember that when we did this strategic move or change to concentrate our business to K-Bygg, it's mainly B2B business. So it's 80% B2B business. And of course, that is also affecting. But yes, we see that the market is getting better. And also, we see that our performance is getting better, particularly, of course, with the, let's say, old K-Bygg and then these converted K-Rauta stores are also gradually picking up now. And of course, it's a hard job to build up the B2B business. We need to be very close with the customers and also build up our offering to that direction. But I see already positive signs also.
Jorma Rauhala: Continue a little bit good to understand also that is it something like 50 stores we have in Sweden, something like that. And now we are talking about 7 or 8 stores, which we have this a little bit problem, let's say, so.
Sami Kiiski: Exactly.
Jorma Rauhala: Yes.
Maria Wikstrom: And then my final question is that, I mean, given that your leverage ratios were up slightly on the -- after the Q3. What is currently your appetite, I mean, for further acquisitions? I think we talk now about the Building and Technical Trade segment.
Jorma Rauhala: Yes. Our strategy hasn't changed. So still, we are seeking growth also through acquisitions. And also, we have stated that very clearly that Sweden is the most critical one that we want to grow our business and in this Building and Technical Trade to make big changes through acquisitions. So we still are looking good targets in Sweden. Also, other countries could be possible, but clearly, Sweden is priority #1.
Operator: The next question comes from Fredrik Ivarsson from ABG Sundal Collier.
Fredrik Ivarsson: I've got 3 questions. I'll take them one by one. So first, if we could start with the slight margin contraction in BTT despite some like-for-like growth. What was the key drivers behind the slightly lower margin in B2B, please?
Jorma Rauhala: All in all, maybe, Sami, you can take this one. But of course, it is still a weak market situation. And when the market situation is weak, the competition is very, very tight. And let's say, so that the volume is maybe not the biggest problem now. The gross margin is kind of a challenging one. But Sami, maybe you want to continue your...
Sami Kiiski: Yes. Of course, that is quite natural that this kind of environment and also this kind of, let's say, market, it's natural that the price competition is, let's say, very hard in all the markets where we are in. And of course, particularly in technical trade, we see that also. And particularly, we see that, for example, only in Finland, business setup is good. It's working well. We see more price competition, of course, in this kind of project businesses. But our model is also so that we -- a big part of that is a service business. We have wide Onninen store network here in Finland, 60 -- almost 60 stores. And we see that there, we have a very good pace also. But of course, like I said, this kind of market, the price competition is hard.
Fredrik Ivarsson: And then on the EUR 200 million to EUR 250 million store site investments, was that only in grocery or for the full group? I didn't catch that.
Jorma Rauhala: Grocery. Grocery, yes.
Fredrik Ivarsson: And can you remind us how this sort of stand in relation to historical levels? I recall, I guess total CapEx has been around EUR 300 million in grocery, but how much of that has been store site investments?
Jorma Rauhala: How about colleagues, do you remember the figures? I remember that 2020-2021, we have much less what comes to those store site investments. But Ari, do you remember
Ari Akseli: Yes. Exactly during this COVID time, it was the lowest level ever during my time in Kesko. It was something like EUR 100 million yearly. But typical level is between EUR 150 million to EUR 200 million yearly.
Jorma Rauhala: Yes.
Fredrik Ivarsson: So this is a slight acceleration, I would say?
Jorma Rauhala: Yes, we can say yes, that's true.
Hanna Jaakkola: To add, we have been saying this EUR 200 million, EUR 250 million for quite some time now. So this was not news this time. But to reminder that, that is the level.
Jorma Rauhala: And also those 3 new super -- K-Citymarkets we announced this morning includes on those EUR 200 million to EUR 250 million. So no any extra investment because of those.
Hanna Jaakkola: Yes, exactly.
Fredrik Ivarsson: And then last question on my side, on the 2025 guidance, what do we need to see in order for you to reach the high end of the guidance? I guess, midrange implies around 8% EBIT growth. But in order for you to reach the high end, what do you need to see during the last 2 months of the year?
Jorma Rauhala: Okay. So a couple of 3 months still to go or 2 months, let's say, so that, of course, all the businesses has performed better than we expected now. And of course, Christmas is there. If there would be an excellent Christmas, especially for K-Citymarket, and that would be -- but also it needs that the Building and Technical Trade market should recover a little bit faster. I would say those 2 are the main opportunities on that one.
Hanna Jaakkola: Thank you, Fredrik. Anybody else on the line? Very good. There's one coming.
Operator: The next question comes from Calle Loikkanen from Danske Bank.
Calle Loikkanen: Just a couple of questions. If I start with the Kesko Senukai, I was just wondering about the inventory write-down that could you elaborate a bit on the reasons for this and also how big the impact of this write-down was in terms of euros?
Jorma Rauhala: Yes. Anu, you can take that one.
Anu Hamalainen: Thank you, Calle, for your question. If I put it like this, in July, we told that Kesko Senukai's Q2 figures for this year were according to last year at the same time. And it was according to that with the management report that we received. So the management report didn't show anything special. So what we did not receive back then was all figures. And for example, inventory, which is the reason why we couldn't report Kesko Senukai figures in Q2 as we need to calculate the Kesko Senukai inventory according to Kesko's inventory valuation principles. As such, I want to emphasize that this is normal and the inventory valuation could show pluses or it could show minuses, and we haven't opened this up earlier. So we have had both pluses and minuses during the previous years as well. So there is nothing special on that side. Why we wanted to open this up was that the inventory valuation will just tell you that the Kesko Senukai is operationally doing well. So there is nothing special on that side. So the inventory valuation could be something else during the last quarter this year. So we don't want to open up, unfortunately, these kind of valuations.
Calle Loikkanen: But in terms of euros, I guess it was something like EUR 6 million or in that ballpark?
Anu Hamalainen: Well, let's say, it was negative.
Calle Loikkanen: And then secondly, I was wondering about the price competition in the technical trade business. And I was wondering that have you seen price competition accelerating now during this year? Or has it just continued to be that way, but you just now started kind of talking about it? And also, are you expecting any changes in the price competition now in Q4 and more importantly, in 2026?
Jorma Rauhala: Okay. Sami, you can take that one. But if I understand right, it hasn't accelerated. It has been like that, let's say, at least this year, not any big changes on that one. And I think it's like say, quite normal on this time when the market cycle is very, very weak. And when the market will improve, I think that also that won't be so big problem. But Sami, is that something else you want to add?
Sami Kiiski: Exactly. Like you said, we saw that it started, let's say, quarter 4, 2024. And like I said already, it's a little bit connected to these projects, which I think everybody are fighting for, I mean, our customers also more when the market is like this. So it's a very price-driven market in that, let's say, segment in a way. And there, we see this price competition to be quite heavy. But other than that, it hasn't changed a lot in the big picture. And like Jorma said, we are waiting that it should gradually go, let's say, better direction when the market is recovering also. And we need to remember also that this is also availability business. And it's not only the prices, it's also that you need to have good warehouses, you need to invest like we did now with Onnela, and this is much more than prices also. So in the long term, availability matters also.
Operator: The next question comes from Miika Ihamaki from DNB Carnegie.
Miika Ihamaki: This is Miika from DNB Carnegie. My first question is, you're noting here Davidsen sales development was good, creation of acquired firms proceeded as planned. I was wondering, did you realize any synergies during the quarter? If not, when are you expecting to realize them? And can you give any ballpark and naturally talk about a little bit how the integration is proceeding in Denmark overall?
Jorma Rauhala: Sami, you can take this one. Denmark, yes.
Sami Kiiski: Yes. I -- was it the Denmark market also, first of all or?
Hanna Jaakkola: Yes. And how the integration is proceeding.
Sami Kiiski: Thank you, Miika. Good question. And like we have told, so this the closing of these 3 companies were during the 2025. And of course, we started in February, as we all remember, and then the last one came in, in June. So the integration has actually went pretty well, I would say, or at least I'm very happy that it has been a big project. As we all understand, it's a big acquisition for us. Integration has been going well. We have been keeping our most important customers also happy. IT platforms are in place. The new branding is there. So we are really the national-wide player there and ready to expand also the business. So the platform is good. When it comes to synergies, I believe we don't open up the synergies so much. But of course, there's always synergies when we have -- when we are becoming, let's say, the big player and the national player and particularly when we are talking about B2B business and this heavy building materials. And of course, one big in a way, improvement and maybe also you can call it synergy is that we have much better logistics when it comes to growing areas like [ Zealand ] and Copenhagen area where we see more activity also now. So that's maybe to summarize of Danish business. But we are very happy to see that we are performing there and better than market also as a whole.
Miika Ihamaki: And then my next question is that what is your expectation on specifically Finland Building and Technical Trade profits into next year on the basis of housing market recovery? So I would like to understand how much do you -- how much is your profit recovery dependent on the housing market in Finland?
Jorma Rauhala: Sami, would you like to have this one?
Sami Kiiski: Yes. We see also that, of course, we are also closely following what is happening with our customers and also what is happening with the housing market. I believe the message from the market has been also that it's gradually getting better, the market. And also it was, I believe, very well also opened up in Jorma's presentation that our business is not only depending of the new residential or new housing construction business. But of course, let's say, so that we are also waiting for that the market, let's say, come back or gradually improve. So then we will see, of course, that the effect will be there. It's 1/3 of our, for example, Onninen business is, in a way, connected to new housing market, and we can, of course, serve and sell much more equipment and technical and HVAC equipment and products there. So maybe to summarize, we believe that the market will be better. Also the forecast what we are having from euro construction also is showing that the [ for a contract ] it's going to be a better market. But maybe not the first part of the year. It's going to be better when we go a little bit further 2026.
Hanna Jaakkola: No more questions from the conference call line. I have one question here coming from the chat. You mentioned already in Q2 report that construction recovery has been slower than expected during '25. And now in '26 outlook, you comment that it will be more moderate than previously anticipated. Has the view on construction recovery weakened further since the summer? Is the question.
Jorma Rauhala: Thank you. Yes, we say that Q3 was weaker than we expected in summertime. But I think that in '26, we didn't say that it would be more moderate than previously anticipated. We say that it will be moderate growth, but no change, of course, because we haven't commented earlier '26. But the change was when it comes to Q3 was weaker than we expected on July.
Hanna Jaakkola: Exactly.
Jorma Rauhala: Yes.
Hanna Jaakkola: But no more questions from the chat function, no more questions from the conference call line. I would like to thank you for very good comments and questions. And if you have any further discussion needs or questions, don't hesitate calling me. But I'd like to thank you from -- on behalf of the whole group here. Thank you.
Jorma Rauhala: Okay. Thank you.